Operator: Good day, ladies and gentlemen. Welcome to the Allegion Q2 2014 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer-session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Tom Martineau, Director, Investor Relations. Sir, please go ahead.
Tom Martineau: Thank you, Nova. Good morning. Welcome and thank for joining us for the second quarter 2014 Allegion earnings call. With me today is Dave Petratis, Chairman, President and Chief Executive Officer; and Patrick Shannon, Senior Vice President and Chief Financial Officer at Allegion. Our earnings release which was issued last night after market close and the presentation, which we will refer to in today's call, are available on our website. This call will be recorded and archived on our website. Please go to Slide 2. Statements made in today's call that are not historical facts are considered forward-looking statements and are made pursuant to the Safe Harbor provisions of Federal Securities law. Please see our SEC filings for description of some of the factors that may cause actual results to vary from anticipated results. The company assumes no obligation to update these forward-looking statements. Our release and today's commentary includes non-GAAP financial measures. We believe these adjustments reflect the underlying performance of the business when discussing operational results and comparing to the prior year periods. Please refer to the reconciliation in the financial tables of our press release and the 2013 quarterly information in the appendix of today's presentation for further details. Our release and today's commentary also reflects direct reclassification of our United Kingdom Door business to discontinued operations. Please refer to our press release and Form 10-Q filing for the quarter ended June 30, 2014, for additional information. With that, please go to Slide 3, and I will turn the call over to Dave.
Dave Petratis: Thanks, Tom. Good morning, everyone, and thank you for joining us today. In the second quarter, revenues were $531 million, up 4% on an adjusted basis versus last year and up 2.9% on an organic basis. Adjusted operating income of $101.7 million increased 1.6% versus the prior year and adjusted operating margin of 19.1% was down 50 basis points versus the prior year. Accounting for a $2.5 million bad debt adjustment in the Asia-Pacific region, adjusted operating margin was flat to prior year. We delivered reporting earnings per share of $0.53, which includes an $0.08 of restructuring and one-time separation cost resulting in adjusted earnings per share of $0.61. Organic adjusted revenue in the Americas grew 4.9%, driven by continued strength in our Residential segment. Slightly negative EMEIA revenue growth was consistent with our expectations regarding flat, but stable markets and our decision to exit certain product markets that are less profitable, dilute resources and are not scalable. Although bookings are strong in our China system integration business, the timing of large government related contracts were the main driver in negative 12% revenue growth year-over-year. Allegion repurchased approximately 600,000 shares for $30.3 million in the quarter. This is consistent with our previously communicated capital allocation strategy to offset dilution. We are raising the mid-point of our full-year EPS guidance, which is now forecasted to be $2.30 to $2.40 on an adjusted basis and $2.00 to $2.15 on a reported basis. This earnings forecast assumes adjusted revenue growth of 3.5% to 4.5%, similar to her previous guidance. Please go to Slide 4. We continue to prioritize investments to meet the electromechanical transformation within the security industry. Our ability to provide new solutions that offer innovation and convenience to both, our residential and commercial customers is a pillar of our growth platform. We continue to make progress in Europe. As part of our profitability improvement actions, we announced an agreement to divest our U.K. Door business to an affiliate of Alcyon Financial Limited, a financial investment firm. The businesses to be sold include the Dor-o-Matic branded automatic door businesses, the Martin Roberts, branded performance steel doorset business and the U.K. service organization. This enables us to simplify our portfolio and focus on the key strategic businesses and services within the EMEIA region. I would like to take this opportunity to thank our employees within these businesses for their contributions and continued focus on the customer during this transition and wish them well in the Alcyon family. Also in the second quarter, we have committed to a plan to restructure the EMEIA organization to improve efficiencies, cost structure and position future growth. We remain focused on acquisition opportunities in emerging markets, emerging technologies and product portfolio expansion. We continue to work to develop our M&A pipeline and are seeing the favorable results of our early acquisitions. As we evaluate future opportunities, we will continue to follow a disciplined process to make sure the deals are aligned with our strategy and that we have confidence that they will create shareholder value. Before I move on, I would like to take a moment to provide a status on our transition service agreements. We have eliminated over 75% of the TSAs with Ingersoll-Rand, and we remain confident of migrating up all service agreement by the end of the year. This has been made possible by the significant efforts of hundreds of Allegion employees around the globe. Please go to Slide 5. Last quarter, I spoke to you about our innovation pipeline and advancements with regard to technology development. This quarter I would like to share some recent examples. Our Schlage Touchscreen deadbolt with alarm was ranked number one in electronic-connected locks in June from a leading consumer publication and our Schlage keypad deadbolt was ranked number one in electronic locks. We are the category pioneer in residential electronic lock category and launched the first connected smart lock to the market. Our connected Touchscreen deadbolt solutions offers best-in-quality durability, best-in-class security and the convenience of fast and easy installation with sleek designs and style great for today's home renovations. Our opened platform lock is [home] renovations. Opened platform lock is compatible with leading home automation in monitored security systems and with Grade 1 security rating building alarm technology and fingerprint resistant touchscreens we are leading the evolution to the keyless era. We recently announced our new wireless lock with a gauge technology used for commercial applications, designed to be the easiest electronic to install, connect, manage and use, this new product reduces the owners' cost of ownership and we believe will accelerate the adoption rate of electronic locks in the commercial market. It offers the same Schlage quality and durability commercial business owners have come to rely on, plus it comes with web and mobile app tools to help building owners manage access. It's ideal for interior office doors, common area doors and sensitive storage areas. You have heard me discuss the complexity of our industry, including navigating the requirements of codes and standards. A great example of this is our new Von Duprin AX series exit device. Developed to provide the market with a solution that needs recent California building code enhancements that established the 5 pounds minimum force on operational hardware for accessible openings. Our AX product provides the first UL-certified exit device meeting the new requirements, while incorporating the rigorous standards for durability, use and functionality that are synonymous with Von Duprin. Patrick will now walk you through the financial results and I will be back to update you on our full 2014 outlook.
Patrick Shannon: Thanks, Dave. Good morning, everyone. Please go to Slide number 6. Reported net revenues for the quarter were $531.5 million, reflecting an increase of 0.5% versus the prior year. Adjusting prior periods for a previously discussed order flow change with our consolidated joint venture in Asia net revenues increased 4% versus the prior year. Organic revenue growth, which excludes the impact of our recent acquisitions and foreign exchange rate fluctuations, was up 2.9%. We realized mid-double-digit growth in residential Americas, driven by the builder, e-commerce and Venezuela segments. The Commercial business had modest growth, reflecting continued softness in institutional markets. EMEIA revenues were consistent with our expectations regarding flat, but stable markets. Although bookings were strong in our China system integration business, the nature of the timing of large government-related contracts drove a large variance in the quarterly growth rate. Adjusted operating income increased by 1.6% compared to the prior year. Adjusted operating margins were 19.1% in the quarter. The results include a $2.5 million bad debt adjustment within the Asia-Pacific region. Excluding this item, operating margin was flat compared to the prior year period. The company continues to invest in future growth platforms, including incremental engineering to accelerate new product development as Dave highlighted earlier and incremental channel development expenditures to accelerate growth in underserved vertical markets. Please go to Slide number 7. This slide reflects our EPS reconciliation for the second quarter. For the second quarter of 2013, reported and adjusted EPS was $0.64, operational results increased EPS by $0.04 as pricing and productivity more than offset inflation. Note that pricing actions were taken in the quarter to offset increased inflation, particularly in Venezuela. The operational results also include an unfavorable $0.02 per share impact related to the bad debt that adjustment from the Asia-Pacific region. The decrease in the adjusted effective tax rate to 29.8% drove $0.06 per share improvement versus the prior year. The decrease in our effective tax rate is due to favorable changes in the mix, a pre=tax income and continued leverage of our tax structure. The next slide reflects the reduction of $0.08 per share related to the incremental interest expense incurred as a result of additional indebtedness associated with the spinoff from Ingersoll-Rand. Next, incremental investments in ongoing growth initiatives were a $0.03 reduction, increased non-controlling and a higher number of weighted average diluted shares outstanding, each represented a $0.01 reduction in EPS. This results in adjusted second quarter 2014 EPS of $0.61 per share. Continuing on, we have an $0.08 per share reduction for restructuring and spin related expenses to arrive at the second quarter 2014 reported EPS of $0.53. The reduction is driven by one-time separation cost in the quarter of $6.9 million, as well as EMEIA restructuring and other charges of $5.1 million. Please go to Slide number 8. Second quarter revenues for the Americas region were up 5.3% on an adjusted basis and up 4.9% on an organic basis. Removing the impact of Venezuelan price increases, revenues were up 2.4% on an adjusted basis. Venezuela pricing, higher volumes and the acquisition of Schlage to Columbia in January 2014, offset unfavorable currency movement in Canada. North America residential revenue growth reflected strength in the builder and e-commerce channels. In addition, we continue to see strong growth in residential electronic locks as this category increased over 20% compared to the prior period. Commercial organic revenues were up slightly in the quarter as commercial verticals compensated for weak institutional markets. Adjusted operating margins for the quarter were down 140 basis points. The decrease was primarily attributable to incremental investments and unfavorable business mix related to the higher growth of residential revenue compared to commercial revenue. These headwinds were partially offset by favorable pricing and productivity. We continue to see improved year-over-year residential margins, which partially offset the unfavorable business mix. Although operating margins declined in the quarter, we are still projecting margin improvement for the full-year as a result of higher volumes, improved pricing and to some extent an easier comparison in the fourth quarter. Please go to Slide number 9. We are pleased with the ongoing progress in EMEIA as reflected in the second quarter results. As we discuss our operational performance, please keep in mind, our U.K. Door business have been removed to discontinued operations in the financial results. The combined businesses had revenue of approximately $24 million and an operating loss of approximately $3 million for 2013. Second quarter revenues for the EMEIA region were up 3% and down 0.3% on an organic basis. Market indicators continue to suggest stability in the southern region, but with minimal growth. The organic revenue decline was driven by lower volume reflecting actions to selectively exit unprofitable markets, partially offset by price improvements. Adjusted operating margin for the quarter was 2%, up 320 basis points compared to the prior year period. The favorable improvement is driven by price and carryover 2013 restructuring benefits as well as management's initiatives to exit certain unprofitable market segments. We remain on target to reflect a 300-basis point improvement in operating margin for the full year. The restructuring actions taken in the quarter will further lean out the cost structure with benefits realized the second half of 2014. Please go to Slide number 10. Second quarter revenues for the Asia-Pacific region were down 9.2% and down 12% on an organic basis. Declines in system integration revenue were partially offset by strong double-digit hardware growth in most regions. Our system integration revenue is dependent on large government contracts that can have large quarterly variations in the timing of project awards. When evaluating the performance of his business, we monitor full year growth as the best indicator of success. We exited the second quarter with a higher backlog and strong project pipeline and are still expecting high single-digit growth of the full-year. Adjusted operating income for the quarter was down $2.5 million, driven by one-time bad debt adjustment of the same amount in the current quarter. Excluding this impact, operating margins would have been in line with prior year's favorable pricing, productivity and the FSH acquisition offset the system integration volume decline in investments. We continue to expect operating margins to improve for the full-year as revenue increases with the seasonality of the business. Please go to Slide number 11. Turning our attention to available cash flow, you'll see that we generated $39.4 million of available cash flow year-to-date. The decrease in available cash versus 2013 reflects spend in restructuring expenses and incremental capital expenditures for new systems, new product development and productivity investments. We continue to manage our working capital effectively in order to improve the velocity of asset turnover, resulting in improvements in working capital as a percentage of sales as well as reduction in our cash conversion cycle. We are still targeting available cash flow for the year to approximate 100% of net earnings from continuing operations. I will now hand it back over Dave for an update of our full year 2014 guidance.
Dave Petratis: Thanks, Patrick. Please go to Slide 12. If we turn our attention to end markets in the Americas, we see a shift in growth between residential and non-residential markets as compared to our prior guidance. The non-residential markets will continue to recover at a slower pace. Availability and cost of labor continues to be a challenge and any weather-related carryover from the prior quarter appears to have been modest. We now forecast non-residential 2014 growth in the low-single digits, mostly driven by the commercial segments of the market. We expect the institutional market to be flat to negative low-single digits for the year. When we look at the ABI Index, a long-term indicator for Allegion, we know the institutional sector for ABI has been recovering at a much slower pace than the commercial sectors. June marked the first time the institutional index has reach positive territory since August 2013. We see the growth in traditional commercial segments such as retail, office and hospitality as opportunities to redirect efforts to drive more share of discretionary business coming through those channels. This remains a critical component in our ability to expand in our core markets. The residential multi-family segment continued its strong pace of growth driven by affordability, mobility and uncertainty of the job market. Although we are still below normal levels, the single-family residential markets continue to show solid improvement, driven by continued recovery in single-family construction. As housing prices continued to increase and inventories reduced, we see increases in renovation activity, which will drive demand in our retail channels. With our residential product portfolio of new innovative products, we are well-positioned to support stronger residential renovation activity. Our outlook for European 2014 growth remains subdued and we continue to forecast at Allegion served markets to be flat. For instance in the construction markets, two of Allegion larger mechanical markets are forecast to be slightly negative for the year. The ongoing recovery in this market will proceed at a very slow rate and we still view recovery to normal levels to occur after 2015. We expect mid-single digit growth in the Asia-Pacific region, driven by growth in China. Of note, we're seeing pressure in China, in the Residential segment, with increased inventory and reduced home values, while non-residential construction growth remained strong. We also see annual growth in the System Integration segment as safe city investments in China continued the shift from first tier to second and third tier cities. Please go to Slide 13. Our full-year adjusted year-over-year revenue forecast remains up 3.5% to 4.5%. We continue to expect the Americas revenues to be up 3.5% to 5% in aggregate although the mix of the revenues had shifted when compared to previous guidance. Essentially strong residential volumes are compensating for lower than expected institutional volumes. We see the EMEIA region as essentially flat and Asia-Pacific region to be up 8% to 10% with a strong second half. Please go to Slide 14. We are raising the mid-point of our 2014 EPS guidance. Adjusted earnings per share are now forecasted to be in the range of $2.30 to $2.40, an increase of 6% to 11% from 2013 adjusted earnings per share. We continue to anticipate earnings growth will accelerate in the second half of this year due to higher volumes, 2014 European actions and a wider spread in the effective tax rate. Restructuring and spin costs are still expected to be $0.25 to $0.30 of impact during the year, resulting in a reported EPS range of $2.00 to $2.15. The effective tax rate assumptions in the guidance is approximately 30% and outstanding diluted shares are approximately 97 million. Finally, the guidance does not reflect the potential risk of the devaluation of the Venezuela Bolivar. For more information on this topic, please refer to our Form 10-Q filed with the Securities and Exchange Commission for the period ended June 30, 2014. Please go to Slide 15. To summarize, we are pleased with the results in the quarter given the soft institutional and Southern European market environments. The American Residential segment continues to perform well and we are taking the pricing actions in Venezuela to compensate for inflation. We have a solid backlog of system integration projects in China, and expect to see stronger second half within that business. As evident in the quarter, we continued to make significant progress on our European profitability actions. Our 2014 priorities are clear. We continue to execute on our operating strategies to assist us in the company for accelerated growth, drive a balanced capital location plan and complete spin-related activities quickly and efficiently. Now, Patrick and I would be happy to take your questions.
Operator: Our first question comes from the line of Steven Winoker of Sanford Bernstein. Your line is open.
Steven Winoker - Sanford Bernstein: Thanks very much and good morning.
Patrick Shannon: Good morning, Steven
Steven Winoker - Sanford Bernstein: Nice progress as a team and all the key initiatives that you have been talking about, but one thing it would just be helpful especially is - our net working capital reduction, again, Patrick could you just call out exactly how you are getting that?
Patrick Shannon: Yes. It's coming primarily from improved focus on both receivable and inventory turnover. I think, we have talked about historically, if you looked at the businesses from a regional perspective, Americas has been in pretty good shape. The opportunity was really in the European area. The other team has done a nice job in reducing our inventory there. Continued vigilance and receivable management and just really seeing good progress across the board.
Steven Winoker - Sanford Bernstein: Okay. You expect that to continue then going forward?
Patrick Shannon: Well, you know, if you kind a look at it over the last four quarters, we have continuously made good progress in that area both, in terms of working capital as a percentage of revenue as well as our cash conversion cycle. I think there were some additional opportunities here, but at some point you know it becomes limited in terms of the step improvement, but we will continue to remain focused on it to drive improvement. If you benchmark the business, it shows up extremely well. It will be a high priority for us as we run Allegion.
Steven Winoker - Sanford Bernstein: Okay. Great. Then on the Americas, just digging into that a little bit for now, the 3% pricing growth you called out the Latin American actions being taken, but was the U.S. also getting priced or is this all Latin America and price was maybe other way in the U.S.?
Patrick Shannon: Yes. The majority was Venezuela price-related. It's a high inflation economy as you know and team has done a really good job to offset the inflation there both, in terms of material as well as salaries and those [narrow] both, in terms of material as well as salaries and those types of things there. I would say about 80% is relative to Venezuela. The majority in both, our residential and the rest of it in our residential, commercial, area, so we are getting some pricing improvement. You may recall last quarter we instituted the price increase effective at the beginning of April. It took some time to kind of work out the backlog, but we are starting to see some incremental price now going into the Q3.
Steven Winoker - Sanford Bernstein: You are not seeing additional pricing related competition in the U.S. That's abnormal?
Patrick Shannon: I wouldn't say it's abnormal. It's always a competitive market, but we are getting, I think, our share of price here.
Steven Winoker - Sanford Bernstein: Okay. Just on Venezuela point, again. I am not sure I am clear. What would it actually take to trigger an accounting change, the change to those other rates given you have described it very fully in your prior calls how it's a closed loop and all of that. I mean, what would actually have to happen next externally or what should we look for that would give us a sign that you would actually have the force to take that action.
Patrick Shannon: Yes. Right now, when we looked at that, I think patience is prudent you know there's a lot of potential movement there in the currency, but the triggering event obviously would be a change in the official exchange rate. We would be forced to that point in time to adapt to the new rate, but if our intent or our business strategy changes to the extent we need to go out and exchange local currency to U.S. dollars that would be a triggering event. We talked about previously that if you look at that business it is fairly well self-contained i.e. it sources the product manufacturers distributes in-country. We don't really have a need or nor do we have a desire today to exchange local currency to dollars, so that's why we are sitting on the fence now and we will wait and see you know how this shakes out. I think, we'll all agree at some point there is going to be a devaluation here. This is the question of when is kind of my perspective on that.
Steven Winoker - Sanford Bernstein: Okay.
Patrick Shannon: All right, I will pass it on. Thanks.
Operator: Our next question comes from the line of Jeff Kessler, Imperial Capital. Your line is open.
Jeff Kessler - Imperial Capital: Thinking of the Americas, I am wondering if you could describe the margin differential between commercial and institutional and any government business that you might have as the mix of those, let's say micro-segments changes, how does that affect you?
Patrick Shannon: Yes. Jeff, so, you know, we don't really look at it in terms of specific mix within the vertical markets. You know what we are looking at, obviously, is how the total commercial business is performing. You know relative to residential, I mean, there was a mix change there as the residential volumes were higher proportionate to commercial, but the good news story there is the residential margins are improving. We are getting good throughput in the factory, good productivity there, so that's helping mitigate the mix change.
Jeff Kessler - Imperial Capital: That was my next question. I mean, it was surprising that given all the emphasis to put on the residential versus commercial mix, with residential having lower margin you have been able to maintain the margin up there. The other question that I had was, again, regarding Europe. I guess, is there any change in the timing of 2015 into 2016, where you want to end up at a margin. What is the processor you are going through to get to a, well it a 10% type of margin in Europe. What is the process and timing of that process?
Patrick Shannon: We have made the big moves with our pruning. You see that in terms of the exit of our U.K. Door businesses. The second step was our internal structural cost. We have tried to move our resources much closer to our markets. The third is really getting enemies five or six markets that I see are strong in our mechanical businesses, in raising the performance and face time of our spec-writers and working with our channel partners to get more of our share in a flat market. The other side of this is the Interflex business, which we were in the search to appoint an entrepreneurial leader there. That business is performing well and understanding the growth opportunities we have got within that space, so that's how I would kind of frame it. I was really pleased with the actions that we have taken to get it to this point. I thought the improvement in margins year-over-year for the quarter were outstanding and we are going to continue to work that to reach the aspirations that we see.
Jeff Kessler - Imperial Capital: Okay. Just follow-up question, those new Schlage electronic locks, you granted they may be under a different brand name, but are they applicable to the European market or is the European market, let's say, is it resistant to this point to residential wireless electronic locks or is it just going to be three or four years behind just by the normal course of things?
Patrick Shannon: We believe the technology is applicable. I think it's one of the challenges of the new Allegion to think about how we can leverage our technology globally. We are looking at that capability in Europe as well as Asia to be able extend it and we think we have got good opportunities to go there, but work to be done.
Jeff Kessler - Imperial Capital: All right. Great. Thank you very much.
Patrick Shannon: Thanks, Jeff. Good to hear from you.
Operator: Our next question comes from the line of Jeremy Kepron from CLSA. Your line is open.
Jeremy Kepron - CLSA: Hi. Good morning everybody. Question on the margins in the Americas segment, you called it the shifting and the mix here really weighing on the margin. I am wondering if this purely a function of strength in the residential and weaker non-res products. You also called that 20%-plus growth in electronic locks and I am wondering how that would affect margins in a positive way?
Patrick Shannon: Yes, so I would say that, if you looked at the revenue, the top-line, the majority of the volume growth was residential related continue to see strong end market growth there, so that was the primary driver, just the mix. The residential margins as you know are lower than the commercial, revenue margins, so that was the driver there. In terms of electronic locks, it's a good trend for us. We are the category leader in residential electronic locks. We saw good growth there plus-20%. If you think about the margin perspective, I would say equal to maybe slightly better than mechanical traditional locks, but with a much higher price point, so not only are we getting higher margin, but were getting incremental ally dollars as well, because of the higher price point, so that's a good mix shift for us and we see that given our leading position, technology, connectivity we see that growing in the future.
Dave Petratis: I would just add in that Residential segment, the ResPro, which is new construction in our residential activity is very price-competitive, especially in today's market. As we can take e-locks on the residential side, in the retrofit market and move that up, we are going to do better. The second thing that's improving our margins, remember, a year-and-a-half ago, we moved production capability from IR [Fu Hsing] a joint venture to our Baja facilities that team is doing an excellent job of leaning out that capability and it's having a positive effect on our margins.
Jeremy Kepron - CLSA: Understood. Okay. Then looking at the cash flow statement just two things here, one is the step up in CapEx. I think $26 million year-to-date. It's a little bit ahead of what I had in mind. Could you maybe remind us of what the percentage for this year and next?
Patrick Shannon: Yes. Sure. This year, our CapEx plan is to be around $40 million for the year, so the first half is a little bit higher. That was really done purposely. We had some systems related expenditure to get off of our transitional services agreements, particular [HRMS] systems, so we had anticipated to be front-end loaded, but we are planning on $40 million for the year. As we look into next year, I would anticipate the CapEx to kind of stay around that level close to 2% of revenue.
Jeremy Kepron - CLSA: Okay. Great. Question for Dave regarding the restructuring plan in Europe, so I think you laid out the plan, those three steps, but I am wondering if you also have an idea that what be the ideal manufacturing footprint in Europe and would that be a further step in the restructuring plan?
Dave Petratis: We continue to challenge our manufacturing footprint globally. We certainly hypothesize around what the opportunities are in Europe. We pruning what we did in U.K. was the nice first step. It's always a challenge to restructure in Europe. We think there are opportunities there, but we are also mindful, we need to be close to our end customer, so we are working those alternatives in mind that, how we properly position the business to be successful.
Jeremy Kepron - CLSA: Great. Thank you very much.
Operator: Our next question comes from the line of Charles Clarke of Credit Suisse. Your line is open.
Charles Clarke - Credit Suisse: Hey, guys.
Patrick Shannon: Hi, Charles.
Charles Clarke - Credit Suisse: I guess, first question just on tax. I realize that you guys lowered the rate to 30% from 31%, probably being nitpicky here, but is that a function of ongoing internal efforts, or is that more related to mix?
Dave Petratis: More related to mix, a couple things we are able to do there from a strategy perspective to have an impact on that. You know, this is an area that obviously continues to heightened focus. It is a strategic asset of the business and we want to continue to leverage this. We have engaged external advisors to help us in this area. The more we look into this, I think, the more we like in terms of potential opportunity. There is a lot of work to be done, so right now our guidance hasn't changed in terms of our tax rate and what we anticipate to reduce it to kind of the mid-20s by 2016.
Charles Clarke - Credit Suisse: Great. Thanks. Then just looking at Americas specifically, just looking at the first half of this year compared to the first half of last year just on an adjusted operating profit line, looks like margins were down about 50 basis points. Just wondering if you think in the back half that we should expect Americas' margins to be higher year-over-year just given that blip with the Venezuela pricing that probably won't repeat.
Dave Petratis: Yes. Absolutely. We are still forecasting and projecting full-year margins to be up year-over-year, so consequently the second half margins would be a stronger to mitigate for the first half shortfall there and that's primarily a couple of things. We are looking at strong growth, a better mix in the commercial markets. We are anticipating improved pricing. We have some price increases that went into effect and we are starting to see that come through in our order book and getting good leverage on the incremental volumes as well as you may remember fourth quarter last year had a little noise in it, so the comparisons get a little bit easier in Q4 and that will help us as well for the full-year margin comparisons.
Charles Clarke - Credit Suisse: Great. Thanks a lot.
Operator: (Operator Instructions) Our next question comes from the line Jeff Sprague of Vertical Research. Your line is open.
Jeff Sprague - Vertical Research: Thank you. Good morning, everyone.
Dave Petratis: Hi, Jeff.
Jeff Sprague - Vertical Research: Hi. Good morning. A couple things, I know you didn't want to really get into the margin difference within commercial, commercial versus institutional, but I wonder if you could speak to the kind of product intensity difference, you know, kind of value per square foot or anything like that where you have been able to kind of size the difference, so I would assume your value intensity is much higher on institutional. Just wondering how much lower commercial might be.
Dave Petratis: Institutional versus commercial?
Jeff Sprague - Vertical Research: Yes.
Dave Petratis: I have not done the value intensity analysis. It's a good challenge to get to. I would describe it this way that the margins are not significantly lower. What has driven the success of the company in the institutional side is a built-to-order model and our opportunity lies in what I called through stock distributor business, inventory in the shelf, so that we first focus on what I would call the retrofit market, let's say 10-office doors in New York City. We are doing some test cases and see opportunity to do that. There could be a bit less margin, but I don't think it's significant. We are challenging ourselves and our U.S. the Americas team that there's significant opportunity in this retrofit fast-moving market and how can we do that with our leading brands as well as our price siding brands and growth in that space?
Jeff Sprague - Vertical Research: I was also just wondering on Europe with the U.K. move, is there a substantial amount of, call it, addition by subtraction that could happen as you right size that portfolio. Is there more revenue that comes up through divestiture?
Dave Petratis: I believe we are done. I think it's now continuing to optimize the structure and really working the channel relationships, driving more specification capabilities in front-end of the business. We have lost some of that capability over last five years and that's how you win. We are looking at our opportunities with Interflex. That's been a good engine for us and you think in the bigger world of connected security, the Internet of things, we think there is good opportunity there, so I would say we are done at least for now.
Jeff Sprague - Vertical Research: Then just more for me, just the bad debt expense in Asia, where was that? What was it? Was it distributor, a retailer or project that you completed that you didn't get paid on? Can you give us a little more color there? Is there anything else there we ought to be mindful of?
Dave Petratis: Yes. Jeff, it's primarily related to our system integration business there, which as you know has long tails to the contracts and no payouts from customers accordingly. You know, unfortunately, we had a change in some of the payment history from a couple of primary customers. I would say, this is not a systemic problem. We did a comprehensive review of both, our receivable portfolio as well as the unbilled receivables and reserve there what you see was kind of a fallout of that comprehensive review. You never want to have these things, but I think we addressed it properly and hopefully we have got it behind us now.
Jeff Sprague - Vertical Research: Okay. Thank you, guys.
Operator: Our next question comes from the line of David [MacGregor] of Longbow Research. Your line is open.
Unidentified Analyst: Yes. Good morning. I guess, the question is with respect to your ability to flex your operational excellence programs. Specifically, the second half top-line growth in U.S. commercial and institutional is below your expectations. To what extent do you the ability to accelerate your cost reduction and value stream initiatives to protect the margins? I think this businesses been modeled and built on its ability to flex up and flex down. I would be critical of our performance in the first half that we anticipated it being the touch stronger and maybe stood at readiness, so we have got our eyes focused that if things don't materialize, we will flex down faster.
Unidentified Analyst: Okay. I guess, second question is just with regard to the mix. If you could talk specifically with regard to the Americas, what kind of growth you saw in your opening price point brands versus your premium brands?
Dave Petratis: I would say generally disappointed in the opening price point brands. I think that's reflective the replacement market, the retrofit market. There is part of a channel that we are not as well positioned in. Jeff Kessler asked the question about the [true stock]. I can name several industries where the actual true stock business carries a higher margin. Our challenge is to position ourselves in the channel to enjoy a bigger part of that space.
Unidentified Analyst: Thank you very much.
Operator: We have a follow-up question from the line of Jeremy Kepron of CLSA. Your line is open.
Jeremy Kepron - CLSA: Yes. Thank you. Just a follow-up on Jeff's question regarding the Asia-Pacific business and system integration projects over there. Could you tell us a little more about those projects that you expect to come through in the second half and precisely the nature of them. Thank you.
Dave Petratis: You may remember from Analyst Day, we gave an overview. These are typically seven-figure projects, our backlog of those projects are up 20%. This would be providing higher definition cameras in the Pudong airport. These are safe city projects, where we are pulling together systems, a video, car counting, vehicle recognition. If you look at the Bocom business over the last five years, it tends to be second half-loaded, so normal from our perspective. We think our ability to execute on that is right. We are trying to drive more of our operational excellence initiatives to make sure we apply the same techniques on this more service-oriented capability as we do in our manufacturing capabilities, so we feel good about our ability to bring that moment in second half.
Jeremy Kepron - CLSA: All right. Thank you.
Operator: I am not showing any further questions in the queue at this time. I would like to turn the call back to you, Tom, for closing remarks.
Tom Martineau: Okay. We will wrap it up. We would like to thank everyone for joining us today and have a safe day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does concludes the program and you may all disconnect. Everyone, have a wonderful day.